Operator: Good morning. My name is Scott, and I will be your conference operator today. At this time, I would like to welcome everyone to the Q1 2016 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. Sameer Gokhale, Head of Investor Relations, you may begin your conference.
Sameer Shripad Gokhale - Head of Investor Relations: Thank you, Scott. Good morning, and thank you for joining us. Today, we'll be discussing our financial results for the first quarter of 2016. This discussion may contain certain forward-looking statements about Fifth Third pertaining to our financial condition, results of operations, plans and objectives. These statements involve risks and uncertainties that could cause results to differ materially from historical performance and these statements. We've identified some of these factors in our forward-looking cautionary statement at the end of our earnings release and in other materials, and we encourage you to review them. Fifth Third undertakes no obligation and would not expect to update any such forward-looking statements after the date of this call. This morning, I'm joined on the call by our President and CEO, Greg Carmichael; CFO, Tayfun Tuzun; Chief Operating Officer, Lars Anderson; Chief Risk Officer, Frank Forrest; and our Treasurer, Jamie Leonard. Following prepared remarks by Greg and Tayfun, we will open the call up to questions. As a courtesy to others, we ask that you limit yourself to one question and a follow-up, and then return to the queue if you have additional questions. We'll do our best to answer as many questions as possible in the time we have this morning. During the question-and-answer period, please provide your name and that of your firm to the operator. With that, I'll turn the call over to Greg.
Gregory D. Carmichael - President & Chief Executive Officer: Thanks, Sameer, and thanks all of you for joining us this morning. Today, we reported first quarter net income to common shareholders of $312 million and earnings per diluted share of $0.40. We had some non-core items that added $0.03 to earnings per share in the quarter. Our Q1 results were solid, especially considering the market volatility we experienced during the quarter. Fee income levels, including capital market fees, were stronger despite market disruptions. As you know, we have been building out our capital markets capabilities for the last few years. We're seeing our investments pay off. During the quarter, we closed on the largest M&A deal in the history of our company. Net interest income was also stronger than expected. We benefited from low deposit betas following the December rate hike and expect to continue to manage deposit rates tightly. Given the outlook for rate, we should continue to benefit from our steady and cautious strategy with respect to rate risk management. We remain focused on executing our defined strategies. We closed on the sale of the branches in St. Louis, which resulted in an $8 million pre-tax gain. In addition, we expect to close on the sale of the Pittsburgh branches. We continue to rationalize our branch network and are on track to deliver $60 million in annual expense savings related to these reductions. We're introducing new products and services. Our new Express Banking product, for example, received high accolades throughout directly from the CFPB. Since we launched this product in November of 2015, we have opened more than 65,000 new customer accounts. Our ongoing investments in digital technology continue to accelerate our growth rate in mobile banking. In 2015, our growth of mobile users exceeded the industry average and even accelerated, while the rest of our industry experienced a slowdown. In the first quarter, over 70% (sic) [17%] of our deposit transactions were executed via mobile devices, compared with 12% in the first quarter of 2012 (sic) [2015]. In addition, we doubled the number of checking accounts that were opened online from a year ago. During the quarter, we implemented an early retirement program. This program resulted in a $14 million one-time expense that will generate $9 million in annual cost savings. We'll continue to look for more efficient ways to operate our company. Achieving operating leverage is our top priority and we're making progress toward that goal. Our expenses, net of one-timers, were up 2% sequentially, partly reflecting the seasonal increase in FICA and unemployment insurance. While we are investing in our company, we are very focused on controlling expenses across all of our operations. We now believe that our expense growth in 2016 will be lower than we had originally expected. Tayfun will provide more details and an update on our outlook in his comments. As we shared with you in January, we are pursuing with several strategic initiatives to improve revenue growth, generate cost efficiencies and improve service quality. We remain on track and intend to share our progress with you as the year continues to unfold. While in 2015 we discussed our efforts to reduce our risk exposures, as of March 31 our loans to commodity traders were down to $241 million. That's down by more than 50% from the peak. On energy, oil prices did rebound off lows, but the sector remains under stress. Our balances were stable from the fourth quarter at $1.7 billion. As expected, we saw continued deterioration in the book. Energy NPLs were $168 million higher from the last quarter, but they represented the bulk of the total NPL increase during the quarter. The loans that moved into the NPL category were predominantly reserve-based loans. As these loans are generally well collateralized, (05:29) we do not expect a similar increase in net charge-offs. At the end of the first quarter, we only had $294 million in loans due to higher risk oilfield services companies. We held reserves of 6.2% against our total energy portfolio and we believe these reserves are more than appropriate. Our capital levels remain strong, with common equity Tier 1 of 9.8%. Our earnings contributed to a tangible book value of $16.32 per share, which was up 5% from last quarter and up 9% over last year. During the quarter, we also announced a share repurchase of $240 million of our common stock which settled on April 11 to retire approximately 14.5 million shares. With that, I'll turn it over to Tayfun to discuss our first quarter operating results and our current outlook.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Thanks, Greg. Good morning and thank you for joining us. Let's start with the financials summary on page four of the presentation. For the first quarter, we reported net income to common shareholders of $312 million or $0.40 per diluted share. There was a net benefit in the quarter of $0.03 per share, resulting from the gains on the Vantiv warrant and the branch sales, offset partially by the cost of the voluntary retirement program. We are pleased with the results, especially given challenging market conditions during the quarter. So let's move to the average balance sheet on page 5 of the presentation. Average commercial loan balances were relatively flat sequentially, but up about 5% year-over-year. Our end-of-period balances were up by $1.5 billion or 3% sequentially. The decline in average balances was partly due to higher pay-downs and delays in closings at the very end of last year. We experienced healthy activity in the latter half of the first quarter. Average consumer loans were down 1% from last quarter and up 1% year-over-year. Residential mortgage loans grew by 2% sequentially as we continue to portfolio only jumbo mortgages and ARMs, and up 11% year-over-year. Indirect auto loans are down 3% from last quarter and 5% year-over-year, in line with our lower origination targets and focus on improving returns in this business. The return profile of our first quarter production was one of the best in the last few years within the super prime market that we mainly focus on. Average investment securities increased by $317 million in the first quarter or 1% sequentially. Average core deposits decreased $1 billion from the fourth quarter. This decrease was driven by seasonally lower demand deposits, partially offset by higher interest checking balances. Our liquidity coverage ratio was very strong at 118% at the end of the quarter. Moving to NII on page 6 of the presentation. Taxable equivalent net interest income increased by $5 million sequentially to $909 million, despite the negative day count impact. The increase was primarily driven by improvement in variable rate loan yields due to the increase in the Fed funds rate in December, with deposit betas remaining at low levels. Quarter-over-quarter, our earning asset yield increased by 8 basis points (sic) [10 basis points], accompanied by a 3-basis-point increase in cost of interest-bearing liabilities. These benefits were partially offset by the effect of a reduced Fed stock dividend payment and continued spread compression from the mix shift to lower-yielding higher-quality credits, which we've discussed previously. NII also benefited from the timing of the investments in the portfolio as cash flows were invested earlier in the quarter and the late debt issuance during the quarter. Overall, we are pleased with our NII growth over last quarter and the 7% growth year-over-year. NIM improved 6 basis points to 2.91% quarter-over-quarter. Shifting to fees on page 7 of the presentation. First quarter non-interest income was $637 million, compared with $1.1 billion in the fourth quarter. Our fee income, adjusted primarily for Vantiv-related items and the annual $31 million TRA payment in the fourth quarter, was $578 million, a decrease of $14 million or 2% sequentially. Despite seasonal headwinds and challenging market conditions, our results were strong. Corporate banking fees of $102 million were relatively flat sequentially and, adjusted for the write-down of a residual lease in the first quarter of 2015, were up 10% year-over-year. As we mentioned in January, corporate banking fees are seasonally lower in the first quarter and overall market conditions were weak during the quarter. So our performance was strong despite the challenging backdrop. Mortgage banking net revenue of $78 million was up $4 million sequentially. Originations were $1.8 billion in the first quarter, with 46% of the mix consisting of purchase volume. About 75% of the originations came from the retail and direct channels, and the remainder came through the correspondent channel. Gain on sale margins were up 57 basis points sequentially to 347 basis points, and net servicing asset valuation adjustments were negative $16 million, similar to last quarter. Deposit service charges decreased 5% from the fourth quarter, reflecting seasonal trends in consumer deposit fees, and increased 1% relative to the first quarter of 2015. Total investment advisory revenue of $102 million was flat sequentially, mostly reflecting weaker equity market activity during the quarter. This impact was offset by seasonally higher trust tax preparation fees. Excluding certain one-time items, our year-over-year revenue growth reached nearly 5%, a very good outcome in a challenging environment. Next, I'd like to discuss non-interest expense in page 8 of the presentation. Expenses were $986 million, compared with $963 million in the fourth quarter. The sequential increase was partly due to seasonally higher FICA and unemployment insurance expense, and a $14 million expense related to the voluntary early retirement program. The early retirement program was well received by our employees and approximately 160 employees participated. As a result, we expect a $9 million decrease in annual compensation expenses. As Greg said earlier, we continue to look for other similar opportunities to improve our expense run rate. I will provide an update on our expense outlook a little later. Turning to credit results on slide 9. Net charge-offs were $96 million or 42 basis points in the first quarter, compared to $80 million and 34 basis points in the fourth quarter of 2015, and $91 million and 41 basis points in the first quarter a year ago. The sequential increase was due to a $16 million increase in C&I net charge-offs. Of the total net charge-offs, $9 million were in energy. Non-performing loans, excluding loans held for sale, increased $195 million from the previous quarter to $701 million, resulting in an NPL ratio of 75 basis points. Commercial NPLs increased $202 million from the fourth quarter, driven by $168 million in energy NPLs. Consumer NPLs declined by $7 million sequentially. Overall, credit conditions, excluding energy, remained within our expectations. Consumer credit continues to improve and commercial credit, excluding energy, is stable. Our provision was $23 million higher than the total charge-offs in the first quarter and our reserve coverage moved up 1 basis point to 1.38% of loans and leases. It is important to note, as Greg mentioned, that an increase in energy NPLs should not necessarily translate into an increase in charge-offs of the same magnitude. This is because the majority of energy NPLs are well collateralized and consist of reserve-based loans. On slide 10, we have provided a breakdown of our energy portfolio. Our energy-related loans at the end of the quarter were $1.7 billion with total commitments of $4 billion. As you can see, our loans to oilfield services companies were only $294 million or 17% of our total energy loans outstanding and leaves only $170 million in unused commitments. We believe that we are appropriately reserved for losses in the energy portfolio based on detailed stress analysis that our teams continue to update, not only on the oilfield services portfolio, but also on our reserve-based loans. Based on detailed analysis, we believe that our energy reserves, which are currently at 6.2%, up from 4.8% at the end of last year, are adequate. Our stress case scenario over a nine-quarter period assumes that oil prices will be at $20 in 2016 and $25 in 2017. This stress scenario would add approximately $50 million to $60 million in net charge-offs over and above our current reserves. On slide 11, we provide a breakdown of our commercial real estate portfolio. It is important to note that our commercial real estate business today is much different than what we had pre-crisis. At the end of 2007, 21% of our total loans and leases were in commercial real estate. Today, we are at 11% below our peer levels. At the end of 2007, over 40% of our non-owner occupied exposure was in land and residential development. Today, that exposure is slightly above 4%. As you can see, our non-performing assets continued to decrease both within the commercial mortgage and commercial construction portfolios. At the end of the first quarter, NPAs in our commercial mortgage portfolio decreased to 1.84% from 2.56% a year earlier. NPAs in our commercial construction portfolio decreased to 23 basis points from 67 basis points over the same period. During the last two years, we significantly upgraded our credit resources in commercial mortgage and construction underwriting, which increased our focus on fine selection, geographical diversity and multi-factor stress analysis. Moving on to capital on slide 12. Our capital levels remained strong. Our common equity Tier 1 ratio was 9.8%, an increase of 30 basis points year-over-year. At the end of the first quarter, common shares outstanding were down approximately 15 million. During the quarter, we announced and settled a common stock repurchase of $240 million and reduced the first quarter share count by 14.5 million shares. Now moving to outlook. The drivers of our overall outlook remain unchanged. We expect year-over-year commercial loan growth to exceed 3% and the consumer loan portfolio to decline. The decline of our consumer loan portfolio will primarily reflect lower auto loan originations, as we had previously discussed, and includes the impact of the sales associated with the St. Louis and Pittsburgh transactions. Our interest rate outlook now has only one rate increase in June as opposed to the two increases that we had in our original base case. For the second quarter, we would expect relatively stable net interest income compared with the first quarter, but despite one late rate increase, we still expect a 2.5% to 3% increase in NII year-over-year. In our base case, we would expect to see a 3-basis-point to 4-basis-point of NIM decline in the second quarter and then hold relatively steady in line with our results in 2015. Although deposit betas are expected to remain low, our outlook assumes incremental spread compression due to our continued emphasis on originating higher quality loans. This update improves upon our January guidance as it includes one less rate increase. Without a rate increase, we would expect NII to grow around 2%. Our overall fee income growth outlook is not changing. We expect to grow our fees between 4% and 5% on the 2015 base of $2.3 billion, which excludes Vantiv share and warrant gains that we had during the year. We are lowering our year-over-year expense outlook from 4.5% to 5% to the 4% to 4.25% range. We believe that our intense focus on expense control will result in an improvement in our operating efficiency compared to our January expectations. The quarterly run rate will increase from the first quarter levels and this will reflect seasonality and the timing of implementation of strategic initiatives, but we will have better year-over-year results than originally expected. Our second quarter results will also include a one-time approximately $10 million expense as a result of retirement eligibility changes related to long-term incentive compensation. These changes will align our retirement eligibility provisions with our peer group. This is just a change in the timing of the recognition of expenses and would lower our expense going forward. We continue to monitor our energy exposures closely. It is likely that we will see higher charge-offs in this portfolio, primarily in the oilfield services sector. Given the relatively modest size of our exposure, future credit losses should be manageable. Credit losses, ex energy, should remain in range, with some potential variability quarter-to-quarter due to the historically low-level of current charge-offs. With that, let me open the call for questions.
Operator: Your first question comes from the line of Ken Usdin from Jefferies. Your line is open.
Ken Usdin - Jefferies LLC: Thanks a lot. Tayfun, I was wondering if you could just follow-up a little bit more on the credit outlook. You mentioned that – we saw a big boost in the NPAs. You don't expect to see a lot more necessarily on the energy losses. But can you just flush out your confidence in seeing the benign underneath? And if you can just parse out the portfolios what you're expecting in kind of commercial ex energy and on the consumer side?
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Sure. Frank is here. Frank's going to answer that question.
Frank R. Forrest - Executive Vice President & Chief Risk Officer: Hey. Good question. Thank you, Ken. As we reported, non-performing assets are up in the quarter, almost all of that is energy-related, 90%-plus is energy-related. It's all tied to reserve-based lending loans, seven (21:57) loans. We feel very confident at this point that those loans are protected by the risk-adjusted collateral coverage that we have in place. All borrowers in the segment that are on NPL that were just moved are current. I think that's important. The regulators, as you've probably heard on other earnings calls, have taken a much stricter view of how they are classifying these loans from an accounting perspective. They are looking to cover both the first and the second lien positions on these companies. In our case, we have a super secured first lien position, and we've gone through a very detailed portfolio analysis of bottoms-up of all of our energy book to ensure that from a borrowing base perspective we're well secured. So NPLs are up. However, it's in a segment that's very well protected from a collateral position both historically and based on our current outlook. We could see additional deterioration from an energy perspective in NPL given that in the future, as Tayfun indicated. But we are not changing our outlook on overall credit losses. Beyond that, when you look at the rest of the portfolio, we've talked this morning about commercial real estate, and we feel very good about that book. The performance is holding up very well. We have very little exposure in commercial real estate in the energy states. We have four multi-family credits that are in Houston, two of which are stabilized, the other two are performing under construction according to the terms that we've set. And we have some exposure in Denver from a commercial real estate perspective, but that market has held up very well, that being in an energy sector. So the overall commercial real estate book at this point is performing to our expectations. Our middle market book is performing very well. We're showing very strong performance in most of our core markets. We're not concerned there. Our leverage book is stable. We'll have some lumpiness quarter-to-quarter in leverage, but overall it's performing to our expectations as well. So I hope that was responsive to your question.
Ken Usdin - Jefferies LLC: It was. Thanks. And there's one quick follow-up. Tayfun, you'd previously talked about building reserves this year more reflecting loan growth. Is that also a reasonable expectation?
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Again, we will have to look at the reserve situation on a quarter-by-quarter basis. Obviously, we did say that reserve releases are very unlikely and, by the end of the year, our provisioning will reflect loan growth ultimately. But that's a quarter-by-quarter analysis that we will share with you.
Ken Usdin - Jefferies LLC: Great. Okay. Thank you.
Operator: Your next question comes from the line of Paul Miller from FBR & Company. Your line is open.
Paul J. Miller - FBR Capital Markets & Co.: Yeah. Thank you very much. On your energy credits, have you seen any deterioration in any of your CRE markets associated with your energy?
Frank R. Forrest - Executive Vice President & Chief Risk Officer: Hey. This is Frank. Let me speak to that. You're talking about non-energy credits that are...
Paul J. Miller - FBR Capital Markets & Co.: Yes, just the second derivative. A lot of people worry about the CRE markets and I guess other second derivatives to the energy market where a lot of people have claimed that a lot of the growth is coming out of the energy markets. So I was wondering if you saw any of the deterioration in some of these markets outside of energy that were related to energy?
Frank R. Forrest - Executive Vice President & Chief Risk Officer: Yeah. One thing to keep in mind, we're really not a Southwest bank. We don't have a retail presence in the Southwest. We do other business there. Our commercial books held up very well. We don't see any deterioration from a traditional, commercial middle market or mid-cap perspective. I just talked about real estate. Again, in Texas, we just had four transactions, $100 million in total exposure, multi-family, through national developers. We see no problems there. If you switch over to indirect, we have about $1.5 billion in the energy states in indirect exposure, which is 4% of our total indirect...
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: That's indirect auto loan.
Frank R. Forrest - Executive Vice President & Chief Risk Officer: Indirect. And so it's a $1.5 billion in total indirect exposure – in consumer exposure and the vast majority of that is in indirect auto loans. We've seen some uptick in past dues in that book. We've cut off a number of dealer relationships in Texas in order to pull in and shrink back that exposure. But, overall, we feel good about the consumer indirect book in Texas. Other than that, we really don't have any substantial consumer exposure in the energy states. So, again, our focus has been, and if you ask for concerns, it would be around what we have in real estate, but it's small and it's well managed, and on the indirect and the direct piece of consumer, it's 4% of our portfolio.
Paul J. Miller - FBR Capital Markets & Co.: Thank you very much, gentlemen.
Frank R. Forrest - Executive Vice President & Chief Risk Officer: Thank you.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Thanks, Paul.
Operator: Your next question comes from the line of John Pancari from Evercore. Your line is open.
Stephen Moss - Evercore ISI: Good morning. It's actually Steve Moss in for John. Wondering on with regard to the mix shift on loans going to lower yielding, higher quality loans. Wondering if you could just quantify what you're thinking about the impact to loan yields over the course of the year.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: That's going to be a function of basically the payoffs and originations. Originations are clearly coming at the upper end of our credit spectrum. In March, for example, when we looked at our commercial originations, the average grades were sort of very close to the investment grade spectrum in our underwriting. Largely, the timing of the impact on margin will also depend on the payoffs from the lower-end of the spectrum, and that's a little bit tough to quantify. We will quantify that for you each quarter as the quarter goes by, but it's a fairly steady type of tightening at this point.
James C. Leonard - Treasurer & Senior Vice President: Yeah. And one thing on our NIM outlook for the second quarter that's embedded in that is that, C&I yield, the expectation would be down a couple of basis points as a result of that loan yield compression as we continue to transition to a higher credit profile client...
Stephen Moss - Evercore ISI: Okay. And also you mentioned improved profitability in the auto loan book here this quarter. I'm just kind of wondering where you're originating those, at what yields are you originating those loans this quarter and what were your total originations?
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: So, in terms of the spreads, the spreads this quarter were a good 25 basis points, 30 basis points above what we've seen over the past number of quarters. But I just want to remind you that that was a very deliberate decision on our part to lower our annual originations to roughly $3 billion from $5 billion, which enabled us to focus on profitability rather than volume. Our auto business is a national business, that has not changed. The geographic distribution of originations is roughly about the same, except for what Frank mentioned earlier. The spreads have widened, the credit quality remains the same. So we're getting more return on the same type of capital allocation for the loans that we are originating.
James C. Leonard - Treasurer & Senior Vice President: Yeah. And on the first quarter origination levels, it was a little bit ahead of $900 million or so and that was a little bit ahead of our expectations, frankly, given the pricing changes and the yields you've seen. So our outlook has increased the originations from about $3 billion at the end of the year to about $3.3 billion for this year, and I think you'll see yield expansion in the second quarter in that book.
Stephen Moss - Evercore ISI: Great. Thank you very much.
Operator: Your next question comes from the line of David Long from Raymond James. Your line is open.
David J. Long - Raymond James & Associates, Inc.: Good morning, guys. Just shifting gears here to the mortgage business. And a few weeks into the quarter here, can you give us some color on what the pipeline looks like and maybe what gain on sales spreads look like right now?
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Pipeline looks good. I mean, obviously, the rates have stayed under 4% for most of the first quarter. It's a little early to make a comment on spreads for the quarter. Obviously, Q1 spreads were wider. We'll just have to wait a little longer to get a firmer perspective on gain on sales spreads for this quarter.
David J. Long - Raymond James & Associates, Inc.: Okay. And then just the second question that I had regarding the effective tax rate that's moved around a bit with the Vantiv-related transactions. Any color on how we can expect that to move here for the rest of the year?
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Yeah, I mean, I think actually the tax rate came in pretty close to where we expected for the year. We're going to be close to these numbers probably within sort of a 0.5 percentage level-ish. It really is no different than what we expected going into the year.
David J. Long - Raymond James & Associates, Inc.: Got it. Thanks, guys.
Operator: Your next question comes from the line of Matt Burnell from Wells Fargo. Your line is open.
Gregory D. Carmichael - President & Chief Executive Officer: Hey, Matt.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Good morning, Matt.
Matthew Hart Burnell - Wells Fargo Securities LLC: Good morning, folks. Thanks for taking my questions. Just a follow-up on the margin guidance, Tayfun. You mentioned about the effect of the lower loan yields. Can you give us a sense as to how you're thinking about reinvestment yields with the 10-year treasury still visibly below 2%?
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Jamie, why don't you take that?
James C. Leonard - Treasurer & Senior Vice President: Yeah. Right now, you saw on our book, at the beginning of the quarter, January, February, we reinvested some cash flows because we saw a little bit better entry point there and then you saw we lightened on an end-of-period basis on the investment portfolio as we closed out the quarter. So, frankly, if rates were to stay at these pretty low levels, you could expect from us just to reinvest cash flows because the entry points don't look real good. But if rates were to have a little bit of a sell-up here and present more opportunity, then you would expect our investment portfolio to grow in line with earning assets. But I don't think you'll see a lot of movement in the book one way or the other throughout 2016.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Yeah. Remember, when we were building for LCR, Matt, in the last two years, there was quite a bit more movement in the size of the portfolio. But, looking out now, it's going to be a steadier direction.
Matthew Hart Burnell - Wells Fargo Securities LLC: And then, if I can just follow-up on a energy-related question, I'm curious in terms of the – it looks like the overall outstanding balance hasn't really changed much quarter-over-quarter.
Gregory D. Carmichael - President & Chief Executive Officer: Correct.
Matthew Hart Burnell - Wells Fargo Securities LLC: But within that, are you seeing loan pay-downs or other types of cash flow in from those borrowers that is offsetting some potential draw-downs from other clients?
Lars C. Anderson - Chief Operating Officer & Executive Vice President: Yeah. So, overall – and this is Lars. We've seen pretty steady balances on an overall basis in that portfolio as we continue to work through with our clients. What we did see in this past quarter was commitment levels declined, as we've repositioned and reduced our exposure level to a number of names. Accordingly, utilization rates moved up a little bit. But, frankly, we would expect that those overall balances committed and loan balances would come down over a period of time as the clients that we continue to work with very closely continue to sell off core, non-core assets, access the equity capital and debt capital markets and reduce their profile. But this is a great long-term business. We've got some expert bankers and we're working very closely with our clients.
Matthew Hart Burnell - Wells Fargo Securities LLC: Okay. And then, just finally on the auto loan portfolio, you mentioned you're focused on prime and maybe even super prime in that portfolio. Doesn't look like from the 90-day past due volumes that that's changed very much. But can you just confirm that the asset quality in that portfolio really hasn't deteriorated much over the past 6 months to 12 months?
Frank R. Forrest - Executive Vice President & Chief Risk Officer: This is Frank. It has not. We have not changed our position at all. We're predominantly a super prime lender to the top dealers and it continues to perform very well to our expectations.
Matthew Hart Burnell - Wells Fargo Securities LLC: Okay. Thanks for taking my questions.
Frank R. Forrest - Executive Vice President & Chief Risk Officer: Thank you.
Operator: Your next question comes from the line of Mike Mayo from CLSA. Your line is open.
Gregory D. Carmichael - President & Chief Executive Officer: Hey, Mike.
Mike Mayo - CLSA Americas LLC: Hi. I just wanted to ask about operating leverage. You said operating leverage is a priority. But then we see expenses up in the first quarter. The efficiency ratio got worse quarter-over-quarter and year-over-year. You're still – your expense guidance is lower than before, but it's still over 4%. And you had closed, I guess, two-thirds of your 100 targeted branches as of last quarter. So I'm just seeing a disconnect between some of the words. It's a priority, you're closing branches, and the result, expense is still growing faster than revenues. So I guess my question is, why do you still have expense growth over 4% in a revenue environment that seems pretty soft? And when will we see the benefits of those branch closings?
Gregory D. Carmichael - President & Chief Executive Officer: Mike, this is Greg. Thanks for the question. First off, we are focused on, once again, continuing to rationalize all of our expenses. The branch closures that we announced last year, we should be completely through. We have already sold the Pittsburgh – or the St. Louis. We'll close on Pittsburgh this week. We expect to be through that exercise by middle of this year. And we're still on target for that $60 million annualized improvement on the branches. We also – as I mentioned before, we offered a early retirement program. We are very focused on expense management, but we're also focused on making the strategic investments that we have to make going forward, that we hope and we anticipate will continue to drive revenue, improve our operating efficiencies, improve our service quality. We've got to make those investments. We want to do this at the best price points. So we're even sharpening the pencil closely on how we spend that money to make sure we get the return we're looking for. We're very much focused on the execution of those initiatives and drive into the outcomes. So, going forward, we've guided lower on the expenses that we initially anticipated for this year, albeit still at 4%. We need to be lower than that obviously. We need to create positive operating leverage and that's what we're focused on. And hopefully, as we go into latter parts of this year, we'll turn the corner to positive operating leverage.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Yeah. And Mike, remember, first quarter has, compared to the fourth quarter, $25 million, $26 million higher just in two line-items, which is FICA and unemployment insurance. So the first quarter typically is going to be a higher efficiency ratio quarter compared to Q4. But, as Greg said and he's been talking about this for a couple of quarters now, there's quite a bit of focus on taking out expenses from operations, so that we can reinvest back in the company. So our outlook – we believe that we will do better than what we've told you in January.
Mike Mayo - CLSA Americas LLC: Yeah, that's helpful. Just one follow-up. Greg, I'm just curious about your style, I mean, as a new CEO, you start in the position and expenses are still growing faster than many of your peers. On the one hand, if you wind up with negative operating leverage a year or two from now, we're all going to be saying, wow, you should have not grown expenses that quickly. On the other hand, if some of your investments pay off, then we're going to say, wow, this was really forward-looking on your behalf. So can you talk about your style in terms of this spending for future gains, the risks and the opportunities as you think about it in your mind?
Gregory D. Carmichael - President & Chief Executive Officer: Mike, first off, as I mentioned before, we have to make the investments to reposition the bank for the realities that we're operating in. And we're going to be in this low rate environment we believe for some period of time. We've got to focus on generating quality revenues with the right partnerships and we also have to focus on making sure that we have efficiencies in our organization. If you go back and look at our operation cost, we're running our central operations less than we did in 2007 at a much higher volume rate than we were in 2007. We have a good history of managing expenses in this organization, and we'll continue that history going forward. But we have to invest to re-platform our infrastructure, which we're doing, and we'll get paid well for that. We're pruning back and leaving back our distribution channels, as we mentioned before, around branches. We're moving to digital and on capabilities for our customers which will reduce our back-office cost, re-platforming our retail platform, our mortgage platform, which would be significantly more efficient going forward. We've got to get paid for those investments. So it's not lost upon me at the end of the day that we're making commitments. We've got to get the return on those commitments to the bottom-line of the company, and that's what we're focused on. We've mentioned that and I mentioned before that this year is a transformational year to make those investments, but we've got to get paid for them. So my style is this, is execution, getting it done and making the commitments that we made to the organization, our shareholders and our investors, and we're going to do just that. So, that's what we're focused on.
Mike Mayo - CLSA Americas LLC: Thank you.
Gregory D. Carmichael - President & Chief Executive Officer: Thank you, Mike.
Operator: Your next question comes from the line of Peter Winter from Sterne Agee. Your line is open.
Peter J. Winter - Sterne Agee CRT: Good morning.
Gregory D. Carmichael - President & Chief Executive Officer: Hey, Peter.
Peter J. Winter - Sterne Agee CRT: I'm just curious how far through are you in terms of the mix shift to higher quality loans. And then, secondly, with this mixed shift, how do you think about through a cycle where your net charge-offs would be in a range versus historically?
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Yeah. So it's difficult to tell you exactly where we are in terms of the de-risking or repositioning of our balance sheet, and part of that is that we have a changing economic environment, interest environment, economic environment. But I would tell you that we continue to stay focused on it every single day. We're reallocating our resources to the businesses that best fit not just our risk appetite, but also produce the best returns for our shareholders over a long period of time. One of the keys here is not just, of course, to achieve the highest returns, but also position this balance sheet and our loan portfolio so that it'll outperform through the future cycles, which I think leads to the second part of your question, which Frank may want to have a comment on.
Frank R. Forrest - Executive Vice President & Chief Risk Officer: Your question regarding loss, I mean our normal range is 30 basis points to 50 basis points of loss. We've performed to that number over the last several years. We've had some lumpiness quarter-to-quarter, but if you look at year-over-year performance, we've stayed within that range, and that's where we expect to be this year. As Lars said, we are really intently focused on managing credit really well through the cycle. And so we are looking at investing in businesses that we believe will do that. We're growing our asset-based lending business. We're growing our leasing business. But we're pulling back a bit on our leverage business. Those are all conscious decisions to ensure we have the appropriate risk and return in balance that will provide good returns and consistent performance through any cycle as we go forward.
Peter J. Winter - Sterne Agee CRT: Okay. But so wouldn't it lower it through a normal cycle, just given this change that you're going through?
Frank R. Forrest - Executive Vice President & Chief Risk Officer: Well, it should. Over an extended period of time, it should. But where we sit today, is we're managing what we have currently on the books, and currently, how we're managing the energy book. It's small relative to the overall size of our company at less than 2% of our outstandings, but we're in a choppy environment. Our performance overall is still I think very good and our outlook for this year is continue to be consistent. We haven't changed our outlook where charge-offs are.
Lars C. Anderson - Chief Operating Officer & Executive Vice President: Yeah. I mean, I think, also just on an absolute basis, yes everything else being equal. But if the environment changes and we sort of get to the other side of this credit cycle, it is our expectation and belief that by doing what we are doing, de-risking the business, our credit performance relative to the industry should be better. That doesn't necessarily mean that at absolute levels it will stay, but relative to the credit cycles, we will do better.
Peter J. Winter - Sterne Agee CRT: Great. Thanks very much.
Operator: Your next question comes from the line of Geoffrey Elliott from Autonomous Research. Your line is open.
Geoffrey Elliott - Autonomous Research LLP: Hello. Good morning. Thank you for taking the question. It looks like the Vantiv stock price, almost feels like every day it's setting new highs and the Fifth Third stock price isn't. So what is the strategic rationale for still holding the Vantiv stake and how strategically and financially do you think about whether it makes sense to exit that versus whether it makes sense to continue to hold it?
Gregory D. Carmichael - President & Chief Executive Officer: This is Greg. First off, obviously, Vantiv has done extremely well and we're proud to have our ownership position that we have in that company. We've been very thoughtful over the last three years in how we monetize that position. I think the returns to our shareholders have been outstanding. We're going to continue to watch that company. We're going to continue to assess the value of their equity and their forward opportunities, strategically what they have in front of them and their opportunities, and we're going to make the best decision for our shareholders going forward with respect to how we continue to monetize our position. Consistently we've done that each year. We anticipate to continue that same path. To what extent and at what time, well, it really gets back to looking at the factors I just discussed, which is our long-term thoughts and projections on what they're going to be able to perform at and how we're performing, and we'll continue to monetize that position over time.
Geoffrey Elliott - Autonomous Research LLP: But in terms of how you think about it now, is it purely a financial calculation around how you maximize the returns to Fifth Third or is there any kind of strategic benefit in having a stake at all?
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Yeah, I think, Geoff, we don't have trigger points where we feel that we are forced to take action. We look at that sector, the drivers of performance in that sector. We look at performance of drivers in the banking sector. We look at Vantiv's opportunities strategically. So it is really a multi-factor analysis that we go through and try to make the same type of decisions that we've made in the past for our shareholders.
Geoffrey Elliott - Autonomous Research LLP: Great. Thank you.
Tayfun Tuzun - Chief Financial Officer & Executive Vice President: Okay.
Operator: Your next question comes from the line of Terry McEvoy from Stephens. Your line is open.
Terry J. McEvoy - Stephens, Inc.: Hi. Good morning.
Gregory D. Carmichael - President & Chief Executive Officer: Hey, Terry.
Terry J. McEvoy - Stephens, Inc.: Greg, you were quoted in an article about Fifth Third early this week in your local newspaper talking about non-bank acquisitions, and I believe it mentioned smaller banks. I was wondering if you could expand upon your interest on the non-bank side as well as the small bank side.
Gregory D. Carmichael - President & Chief Executive Officer: And we do have – and we continue to look at once again ways that we can continue to be a better partner and add value in our business. So, when you think about our payments area, we support obviously corporate strategy verticals like retail, healthcare and so forth. So, looking for opportunities in those sectors, we made a small investment in a company called Zipscene. We just made investment in another company called Transactis that was just recently announced. So those are the type of things I'm looking for. In addition to that, we're also looking for opportunities in the wealth management sector, insurance opportunities. That might make sense for us going forward as we continue to build out more capabilities in those sectors. So we're interested in where those opportunities lie, once again for the right value proposition, for the right long-term value for our shareholders, we're considering those. On the bank side of the house, as I mentioned in prior discussions, we're really focused on opportunities to be more relevant in the markets that we're in. And we can continue to build out a quality franchise in our higher growth markets like the Carolinas, Tennessee, Chicago markets. We're interested in when those opportunities materialize, that make sense for our shareholders, at the right price, at the right value proposition, we're going to continue to consider those also.
Terry J. McEvoy - Stephens, Inc.: And then just a follow-up question on the corporate banking line, you mentioned and then we saw that from the results are strong, first quarter despite where you normally see seasonality, how's the pipeline for 2Q and do you think that seasonality in terms of a quarter-over-quarter pickup in the second quarter will occur this year?
Gregory D. Carmichael - President & Chief Executive Officer: No, we feel good about the pipeline, but I'll turn it over to Lars for some more color around the pipeline.
Lars C. Anderson - Chief Operating Officer & Executive Vice President: Yeah. So, if you break down corporate banking, you really look at the significant part of that capital markets where we really outperformed, and I think we outperformed the market. We're up 18% from the prior quarter. We're up on a common quarter basis also. And frankly, we grew almost every client solution and every product throughout our capital markets platform, other than corporate bond underwriting. Frankly, we're getting a lot of traction there. The pipeline is strong, it's strengthening. And a lot of that is because we're adding additional talent and capabilities. We're able to broaden current relationships and it's putting us into a position, frankly, to be more leaned left with a number of our clients. So I feel good about it over the long-term. But I think it's important to keep in mind that for capital markets, that the macroeconomic environment does have a significant impact quarter-to-quarter and it does tend to be a little bit of a lumpy fee income source. And we mean to diversify it, build it out, consistent with our relationship banking strategy.
Terry J. McEvoy - Stephens, Inc.: Thanks, Lars.
Operator: Your next question comes from the line of Vivek Juneja from JPMorgan. Your line is open.
Vivek Juneja - JPMorgan Securities LLC: Hi. Thanks for taking my questions. Apologies if I am repeating something you said. Too many earnings calls going on at the same time, so we're trying to do the best we can. Just a couple of numbers on energy loans. What percentage are investment grade and what you have total NPLs on energy as of the first quarter?
Frank R. Forrest - Executive Vice President & Chief Risk Officer: 52% of our core book is investment grade. Again, as we've talked about before, E&P loans make up 58% of our total portfolio. The vast majority of those are reserve-based lending loans, where we feel we're very well secured. We continue to be protected by our risk-adjusted collateral coverage. The issue we have is not there, the issue we have is on 17% of the portfolio which is oilfield services. And it's only on a third of that portfolio, where about $90 million where we have projected losses going forward. So it's a small book, 2% overall, and the portion that we're concerned about is 17% of that 2%, and only a third of that, if that makes sense. So we feel overall we're very well protected.
Vivek Juneja - JPMorgan Securities LLC: I'm presuming that's Frank who just spoke, right?
Frank R. Forrest - Executive Vice President & Chief Risk Officer: Hey, this is Frank, yes.
Vivek Juneja - JPMorgan Securities LLC: Yep. Frank, can you give me some numbers on just – I know you talked about NPAs' increase of $168 million. Could you give us a number what it was at the end of the quarter?
Frank R. Forrest - Executive Vice President & Chief Risk Officer: On non-performing loans?
Vivek Juneja - JPMorgan Securities LLC: Yes, please.
Frank R. Forrest - Executive Vice President & Chief Risk Officer: Yeah. We were just above the $180 million at the end of the quarter.
Vivek Juneja - JPMorgan Securities LLC: Okay. And switching now to Greg, going back to a question that was just asked, just a little more clarification on your interest and small bank acquisitions. Can you define small banks that are what size you're thinking about, for one? For second, Chicago, you've cited Southeast, whether Chicago fits into your interest better?
Gregory D. Carmichael - President & Chief Executive Officer: Listen, we've got a good franchise in Chicago. There's opportunities to grow in that market. So we're being thoughtful about opportunities that may emerge in markets like Chicago and our other higher Mid-South (51:59) footprint opportunities. So we will consider those type of acquisitions. I don't want to put a size limit or opportunity out there on the size of the deal we do, but obviously there's going to be something we'll make sure that fit our franchise. This is something that we could execute well against. And once again, it gets back to the value preposition of that opportunity for our shareholders long-term. The market has not been favorable to recent deals that were announced, we're very mindful of that. We want to make sure we do the right deal at the right time for the right value preposition for our shareholders.
Vivek Juneja - JPMorgan Securities LLC: Okay. Thank you.
Operator: There are no further questions at this time. Mr. Gokhale, I turn the call back over to you.
Sameer Shripad Gokhale - Head of Investor Relations: Okay. Thank you, Scott, and thank you all for your interest in Fifth Third Bank. If you have any follow-up questions, please contact the Investor Relations department and we'll be happy to assist you.
Operator: This concludes today's conference call. You may now disconnect.